Operator: Good morning and welcome to the Emerson Second Quarter 2025 Earnings Conference Call. All participants will be in listen only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to your host, Colleen Mettler, Vice President of Investor Relations at Emerson. Please go ahead.
Colleen Mettler: Good morning, and thank you for joining Emerson's second quarter 2025 earnings conference call. This morning, I am joined by President and Chief Executive Officer, Lal Karsanbhai Chief Financial Officer, Mike Baughman and Chief Operating Officer, Ram Krishnan. As always, I encourage everyone to follow along with the slide presentation, which is available on our website. Please turn to slide 2. This presentation may include forward-looking statements, which contain a degree of business risk and uncertainty. Please take time to read the Safe Harbor statement and note on the non-GAAP measures. I will now pass the call over to Emerson's President and CEO, Lal Karsanbhai, for his opening remarks.
Lal Karsanbhai: Thank you, Colleen. Good morning. I'd like to begin by extending my gratitude to Emerson's employees for continuing to deliver differentiated results. I'd also like to thank the Emerson Board of Directors, our customers and shareholders for the trust you continue to place in us. Further, I'd like to congratulate the Test and Measurement team for an outstanding NI Connect last week, in which we introduced the latest technology to enable successful creation and innovation through open, flexible and modular platforms. The LabVIEW company is alive and well. Next, I would like to congratulate two individuals- Antonio Pietri, former CEO of AspenTech since 2013, for a successful 29 year career. I would also like to congratulate Vincent Servello, who will lead the business as part of Emerson. Lastly, I'm looking forward to Emerson Exchange on May '22 in San Antonio, Texas. We will showcase our latest innovative solutions across the entire portfolio of Emerson businesses alongside over 2,000 attendees. Please turn to slide 3. While Emerson continues to execute exceptionally well, we, like all companies, are operating in a period of unusual volatility and therefore, have factored a variety of outcomes into our thinking that inform the outlook I will share with you today. Emerson delivered a strong second quarter. Underlying orders growth of 4% exceeded our expectations, and all regions were positive, including China. Demand remains resilient for our Process and Hybrid businesses, which were up 6%, and our Discrete businesses collectively turned positive with Test and Measurement up 8%. Underlying sales came in at the top of our guide with record margin performance, and adjusted earnings per share exceeded our guidance by $0.06 We will go into more detail on the results in the following slides. We have conviction in our process and hybrid markets and are seeing strong indicators for a meaningful second half discrete sales recovery. Our long outstanding supply chain regionalization strategy and global footprint enable us to quickly respond to a variety of scenarios, including the recent tariffs. From these, we have a gross exposure of $245 million in 2025, which we expect to fully mitigate. Ram Krishnan will walk through the details in a few slides. Emerson had an excellent first half, and we are confident in our plans for the year. We are guiding underlying sales growth of approximately 4% and raising the midpoint of our adjusted EPS guide, now expecting between $5.90 to $6.05 per share. Our free cash flow guidance is $3.1 billion to $3.2 billion reflecting good performance and costs related to the AspenTech transaction, and we now expect to return $2.3 billion to shareholders through dividend and share repurchase. We're also marking the completion of the portfolio transformation we began in 2021. On March 12, we completed the buy in of AspenTech, which now operates as an independent business unit within our Control Systems and Software segment. We expect the transaction to be modestly accretive to adjusted EPS in 2025, and we are targeting $100 million of cost synergies by 2028, primarily through the harmonization of corporate costs and G&A as well as R&D productivity. Integrating AspenTech is a key priority in 2025, and the organization is energized by the future opportunities with Emerson as we accelerate to double digit ACV growth. Additionally, we have completed the integration of Test and Measurement and have executed all actions to achieve $200 million run rate cost synergies by the end of 2025. We are thankful for the hard work performed by our teams, and we will continue advancing operational excellence as this business returns to growth. Finally, following a strategic review of our Safety and Productivity business, which began in November, we concluded the best value for our shareholders is to retain the business. Safety and Productivity comprises approximately 8% of sales with market leading profitability and cash generation. This business is underpinned by demand drivers such as reshoring and domestic manufacturing, and we'll continue leveraging the Emerson Management System to create meaningful value. Please turn to slide 4. Our industrial software businesses continued to perform well, and the total company ACV is up 11% year-over-year with broad based strength. Demand was better than expected in the quarter with underlying orders growing 4% year-over-year. Underlying sales were up 2% with our Process and Hybrid businesses up mid-single digits. Emerson generated record profitability again in the second quarter with gross profit and adjusted segment EBITDA margins both matching the prior highs set in the first quarter. Gross profit margin of 53.5% was a 130 basis point improvement year-over-year, demonstrating how customers continue to recognize the value of our leading technologies. Adjusted segment EBITDA margin of 28% came in well above expectations and was a 200 basis point improvement versus the prior year. Adjusted earnings per share of $1.48 were up 9% year-over-year and exceeded our expectations. Emerson generated strong free cash flow of $738 million, a margin of 17%, up 14% year-over-year. Mike Baughman will provide additional details on our financials in a few slides. Please turn to slide 5. Emerson's trailing three month underlying orders of 4% highlight the strong demand outlook for our business. Process and hybrid markets remained healthy in the quarter with 6% growth and are expected to maintain mid-single digit growth in both the third and fourth quarter. We continue to see significant capital investment in energy and LNG projects to support global demand led by The Middle East and Africa, India, Southeast Asia and The Americas. Our large project funnel, which provides a three year outlook of capital activity, sits at $11.4 billion, and we were awarded approximately $375 million of content in the second quarter. We are also emerging from a prolonged discrete downturn, and our discrete businesses collectively turned positive in the second quarter, with underlying orders exceeding our expectations at 3%. Test and Measurement orders were up 8% with tailwinds forming across the broad based portfolio business, which traditionally has been a leading indicator. Aerospace and defense continues to perform well with large project wins in the US, and we believe the favorable macro environment will continue in the second half. While we are seeing sustained positive momentum in industrial and discrete MRO markets, factory automation continues to be a watch area, and we believe demand may be pressured by macro uncertainty in the second half. Overall, improving underlying demand fundamentals, coupled with easier second half comps, position our discrete businesses for accelerating year-over-year growth in the back half, and we expect to hit double digits as we exit the year. We are watching closely for signs of tariff induced impacts to demand, but we have not seen any widespread indications. April was a strong start to the third quarter with trailing three month underlying orders growth of 7%, and we continue to see significant demand for our Process and Hybrid businesses and recovery in discrete. Energy security, self-reliance and energy transition commitments are expected to sustain a favorable spend environment in LNG and power, while near shoring momentum is expected to drive further growth in Life Sciences. Strength in Process and Hybrid markets, combined with a nascent discrete recovery, reinforces our expectations for mid-single-digit growth in the third quarter and for high single digit growth as we exit the year. Please turn to slide 6. Favorable demand trends support our view for underlying sales to accelerate in the second half and reinforce our full year guide of approximately 4% growth. Beginning with Process and Hybrid. We saw growth across all world areas in the first half. First half growth was led by Asia and The Middle East and Africa, with robust investment in energy and LNG projects offsetting continued weakness in China, specifically bulk chemical. The Americas were up mid-single digits with solid MRO in North America and broad based strength in Latin America. Europe saw low single digit growth with continued momentum in Energy Transition and Life Sciences. We expect Process and Hybrid sales growth in the second half to remain in the mid-single digits, driven by sustained global investment in LNG, Life Sciences and Power. We are planning for gradual improvement in China, aided by easier comps and investment momentum in power and marine. Turning to discrete. Underlying sales were down low single digits in the first half with the most pronounced weakness in Europe and China. The orders recovery in the second quarter and a low base of comparison support our plan for high single digit underlying sales growth in the back half. We expect continued improvement in discrete MRO as well as test and measurement markets with regional growth led by The Americas and Asia ex China. We now see a more muted recovery for factory automation and continue to see declines in automotive. These dynamics are expected to prolong weakness in Europe and China, although we expect to see sequential improvement in both regions in the second half. The improving business fundamentals reinforced our expectation for low single digit sales growth for the full year. And lastly, Industrial Software ended the first half with ACV of $1.5 billion, a growth of 11%, driven by demand for AspenTech's digital grid management and manufacturing and supply chain suites. DeltaV software recorded double digit growth in subscriptions, and LabVIEW also contributed high single digit growth. For the full year, we expect double digit ACV growth led by a strong EPC project backlog across energy and energy transition with continued adoption for our industrial software across power, life sciences, semiconductor and aerospace and defense. I will now turn the call over to Mike Baughman to provide additional color on our financials.
Mike Baughman: Thanks, Lal. Please turn to slide 7 to discuss our second quarter financial results. Underlying sales growth was 2%, led by our process and hybrid businesses which were up approximately 4%. Our discrete businesses continued to show sequential improvement but were still down approximately 1% year-over-year. Price contributed 1.5 points to growth. Software and Control grew 7%, driven by higher software sales, while Intelligent Devices was flat due to safety and productivity and discrete automation. Backlog increased to $7.5 billion and our book to bill for the quarter was 1.04. Sequentially, backlog was up 3% led by our process and hybrid businesses which were up mid-single digits while our discrete businesses were up low single digits. Adjusted segment EBITDA margin improved 200 basis points to 28% matching our record high from Q1 and exceeding our expectations. Margin expansion was driven by favorable price cost, segment mix and the benefits of cost reductions and synergy realization. Strong profit contributions from test and measurements and control systems and software, which includes AspenTech, accounted for a significant portion of the margin expansion. Operating leverage was 180%. Adjusted earnings per share grew 9% to $1.48 up $0.12 year-over-year. I will discuss adjusted EPS in more depth on the next chart. Lastly, free cash flow was $738 million, up 14% versus the prior year. This strong performance was led by higher earnings and favorable working capital. Free cash flow margin for the quarter was 17% and was burdened by $130 million of acquisition related costs. Please turn to slide 8. Q2 was another strong quarter operationally. Bridging from prior year adjusted EPS of $1.36 operations added $0.14. Excluding AspenTech, software and control added $0.04, Intelligent Devices added $0.03 and a full quarter of AspenTech ownership at 57% added $0.07. The completion of the AspenTech buy in benefited the quarter by a net $0.05, $0.07 from the incremental 43% ownership from March 12 to the end of the quarter, less $0.02 from interest expense for debt taken on to complete the buy in. AspenTech operations exceeded expectations, including $0.03 due to the timing of a key customer booking in France. This contract is the largest in AspenTech history and previously had been expected to book in Q3. Non-operating items including FX and pension were a $0.07 headwind. The $0.05 headwind for FX is primarily due to unfavorable balance sheet translation with some unfavorable impact on sales early in the quarter. Overall, adjusted EPS grew 9% year-on-year to $1.48. I will now pass the call to Ram to review our tariff mitigation plans before I finish up with our guidance.
Ram Krishnan: Thanks, Mike, and good morning, everyone. Please turn to slide 9. I want to provide a clear picture of the estimated gross impacts of the current tariff situation, both from tariffs recently implemented on US imports and China's retaliatory tariffs on US exports. On an annualized basis in 2024, Emerson imported $1.6 billion into the US, representing 19% of our annual cost of goods sold as raw materials and semi-finished products for our manufacturing plants and finished products to our distribution centers. The gross incremental tariff impact on these imports driven by IEEPA, steel, aluminum and reciprocal tariffs amounts to $320 million on an annualized basis. Tariff assumptions for US imports are as follows: IEEPA enacted on February 4 and March 4 are held at 25% Section 232 on steel and aluminum remain at current levels. And excluding China, reciprocal tariffs are modeled at an average rate of 15% to estimate the annualized impact. As you can see, most of our gross impact is driven by the 125% reciprocal tariff on imports from China, while the Mexico impact is significantly mitigated as 80% of our supply into the US from Mexico qualifies for USMCA exemptions. In 2025, we expect the gross incremental impact on US imports to be $185 million, around 1% of sales. Now to quantify the tariff impact of US exports into our China operations, we exported $105 million of critical subassemblies and some finished product from the US to China in 2024 on an annualized basis. Under the third round of China's retaliatory tariffs, which went into effect on April 10, we are now exposed to $135 million of incremental cost on an annualized basis. This assumes no waiver or exemption mechanism and the country of origin for semiconductor fabrication will be based on the location of fabrication. In 2025, we expect the gross incremental impact to be $60 million, around 0.35% of sales. So in total, our gross impact in 2025 is expected to be $245 million and $455 million on an annualized basis, which is around 2.5% of sales. We are mitigating these impacts through targeted surcharges and pricing actions, production reconfiguration using our global manufacturing footprint and additional supply chain regionalization initiatives. In 2025, we're targeting $190 million of incremental price and surcharges in the fiscal year with another $55 million of operational mitigation benefits from inventory on hand and supply chain actions. These mitigation actions will completely offset the tariff headwinds in the fiscal year with carryover benefit to completely cover the full annualized impact we will encounter in 2026 under these assumptions. As stated in the February call, we had pricing actions ready to be implemented when the first IEEPA tariffs took effect. Pricing actions are underway across all of our businesses, and all increases will be completed inside the quarter, including surcharges to our backlog where applicable. The remainder of our mitigation center around leveraging our global operational footprint that gives us a lot of flexibility to move production capacity around. Clearly, our regionalization efforts over the years put us in a strong position to drive these actions with speed effectiveness. Mike, I will now pass it over to you.
Mike Baughman: Thanks, Ram. Please turn to slide 10 where I will walk through the details of our 2025 guide for sales and adjusted EPS. As Lal and Ram discussed, the sustained momentum in Process and Hybrid markets, positive outlook on discrete, strong Q2 operational performance and ability to navigate tariffs put us in a position to guide underlying sales growth in 2025 of approximately 4%, holding the midpoint of our February guide. We expect the pricing actions we are taking to mitigate tariffs to add an incremental point of price. So we now expect total price of approximately 3% in the year. This is offset by pockets of reduced outlook for demand, including muted expectations in China, a slower recovery in factory automation and weakened demand and safety and productivity from continued softness in construction markets. We now expect FX to be flat for the year versus the February expectation of 1.5 points of unfavorable FX. Turning to EPS, we are raising the midpoint of our adjusted EPS guide and now expect to land the year between $5.90 and $6.05. We have an $0.08 benefit from the outstanding operational performance in the second quarter. And as Ram outlined, we expect completely offset the earnings impact of tariffs in 2025. The softer demand dynamics mentioned earlier results in an approximately $0.10 headwind for the year, while the impact of the change in our FX expectation provides approximately $0.05 of upside relative to the February guide. Please turn to slide 11 for additional details on our third quarter and full year 2025 guidance. We expect our Process and Hybrid businesses to grow mid-single digits for the year, supported by healthy backlog and pace of business. As discussed, discrete orders have turned positive and will benefit from easier sales comps resulting in a meaningful second half recovery and low single digit full year growth in our discrete businesses. Adjusted segment EBITDA margin for the year is expected to be approximately 27%, up 100 basis points over the prior year, but lower than the first half of the year due to the effect of tariffs and segment mix. Free cash flow guidance is now $3.1 billion $3.2 billion as we have rolled in the impact of the AspenTech acquisition. Strong operational performance in the first half helped offset AspenTech transaction related headwinds of approximately $200 million. Including these headwinds, free cash flow margin is expected to be approximately 17%. For the third quarter, we expect underlying sales to be up 3.5% to 4.5% and FX to be favorable approximately 1 point. Our growth reflects the continued positive environment for our Process and Hybrid businesses and a return to growth in our discrete businesses. We expect adjusted segment EBITDA margin of approximately 27% and adjusted EPS between $1.48 and $1.52. Please turn to slide 12. Emerson has remained committed to disciplined capital allocation through the portfolio transformation, and we will continue to have four primary capital allocation priorities. The first remains reinvestment in the business to foster organic growth, and Emerson will continue these high return investments to support our 4% to 7% growth framework. We are in our 69th year of increased dividends per share and expect to distribute $1.2 billion to shareholders through dividend in 2025. The dividend will continue to be a priority. Our A2A credit ratings are also a priority for Emerson and influence how we manage our balance sheet and capital allocation decisions. The decision to retain the S&P business makes debt paydown a priority over the next two years. We have updated our guidance for fiscal '25 share repurchase to $1.1 billion which was completed in the first half. As we look beyond 2025, we expect to have available approximately $2.5 billion of free cash flow over the next two years to allocate to share repurchase and strategic bolt on M&A. With this plan, we expect to bring our net debt to adjusted EBITDA back to approximately two times by the end of fiscal 2027. And with that, we will now turn the call back to the operator for Q&A.
Operator: Thank you. We will now begin the question and answer session. And this morning's first question comes from Andrew Obin with Bank of America Merrill Lynch.
Andrew Obin: Just a question on discrete automation. Clearly, you guys are seeing some momentum, right, you're highlighting test and measurement orders, but at the same time you're highlighting factory automation limited recovery. So what exactly is getting better in discrete, what end markets?
Lal Karsanbhai: So a couple of things here. First on Test and Measurement. The recovery in the Test and Measurement business has been driven by the portfolio business and aerospace and defense. The portfolio business is a broad based business with tens of thousands of customers and is a great indicator of industrial activity across the world. We continue to be muted in semiconductor, although recovering, and certainly down on automotive. We saw those same negative trends in automotive across the traditional Emerson discrete business. That's predominantly impacting our China and Germany business, which has a higher exposure to automotive, although we see some of that in the US as well. Now in terms of positives and underlying discrete, we saw some green shoots across a number of industries, some of the packaging industries, MRO markets and applications, which turned positive for us as well in the quarter. So overall, certainly in a different place than we were a quarter ago at plus 3%, but very encouraged about the churn in test and measurement. We believe that is sustained as we indicated in our materials and accelerating as we go through the year.
Andrew Obin: And just a follow-up question. If you look at the pharma announcements out there, right, I think Roche is talking about $50 billion in spend, Novartis $23 billion, J&J $55 billion, Eli Lilly $27 billion, I mean, these are like sort of semiconductor like numbers and you guys do have a very strong position in this market. Just from your perspective, how much of it is political posturing and how much of it you actually see in your discussions with the customers and when should we start seeing it at this activity if it is in fact real in your orders because clearly one of your strongest global franchises?
Lal Karsanbhai: No, I think it's very real. I think companies are making serious commitments around reshoring the manufacturing. We've been speaking about life science reshoring, if you recall, Andrew, for a number of years now as one of the underlying drivers in our business. And we are seeing real activity. Now of course, it takes time. We're seeing some early projects come into our funnel, but early days yet. There's tremendous demand for some underlying treatments out there, weight loss, diabetes. There are new cancer drugs coming onto the market, large molecule drugs being introduced. And you're going to see that those manufacturing facilities and decisions on where to place those facilities are going to be heavily influenced by the current environment. So we're very excited about that. We're well positioned and working closely with all of those customers on their plans.
Operator: And the next question comes from Scott Davis of Melius Research.
Scott David: I just wanted to ask on AspenTech and just get a sense now that you've closed the deal. What do you feel like you can do with the asset now that you fully control the outcome that you really couldn't do before?
Lal Karsanbhai: I'll start off and I'll give I'll hand it off to Ram to give his perspective as well. Look, first, we're very excited about completing that transaction. We have a great management team that we put in place, which much like we did at NI is a combination of Emerson folks and AspenTech folks. So I think we have a team that can execute on a plan, predominantly driven around growth. The opportunity here is to drive ACV into the double digit range and sustain that over time. We believe the technology is highly differentiated. And we further believe, Scott, as we'll highlight at Emerson Exchange, that to deliver our vision of boundless automation in the next generation of distributed control system around enterprise software, the AspenTech and DeltaV Ovation platforms collaboratively coming together is going to be critical.
Ram Krishnan: Yes. And Scott, I would say we're obviously in terms of the accelerated momentum on the commercial engagements that we've already had with AspenTech, we're very encouraged by that and that should continue both in terms of greenfield pursuits as well as the opportunities we see in end markets like power and life sciences, as well as the installed base of DeltaV and our opportunity to collaborate there to sell more AspenTech software. And then certainly on the technology front, as Lal pointed out, our vision of a software defined automation architecture, this will enable faster execution of many of the roadmaps that we have been working with them on. But now as 100% part of Emerson, we will accelerate their roadmaps.
Scott David: I just wanted to clarify on the sequentially the tariff impact. Do you expect to offset by the end of the fiscal year, calendar year? Can you do it faster than that? It wasn't entirely clear to me, but maybe I'm just missed it.
Lal Karsanbhai: Yes. We will completely cover the tariffs by the end of 2025. We'll cover it obviously as the exposure in 2025 with the programs having momentum to cover it in 2026 as well, fiscal 2025.
Operator: And the next question comes from Deane Dray with RBC Capital Markets.
Deane Dray: Could you start with the decision to keep safety and productivity? It's got a great reputation, great brands. Did you not get the right multiple for it? It's just maybe it's not the right environment given the macro to maximize value. But just kind of what was the process? And would this be revisited?
Lal Karsanbhai: Look, we did conduct a very thorough review of the S&P business. And through that review, obviously, the external environment has something to do with it. We ultimately concluded that the best value for the shareholders is to retain the business. And Dean, one of the things that this management team has been very focused on through the transformative transactions is value creation for shareholders in terms of not just the disposals but certainly on the acquisition side as well. So look, at this point, we feel really good about the opportunities. We do believe the business is well aligned to the macros of reassuring, in particularly US manufacturing. As you may know, this is entirely a US manufacturing business with manufacturing in Elyria, Ohio, with great technology to address those under secular drivers. So look, we will apply the Emerson management system. We see opportunities for value creation within a highly profitable segment leading margins and cash flow and are excited to go to manage on a go forward basis.
Deane Dray: And then just second question, can you said no definitive signs of slowing, but you also call out pockets of softness in China factory automation and construction markets. If you just step back and say what are the data points that you're basing that on? Is it funnel? Is it kind of any sort of leaping indicators that you think that there's the slowing, the depth of it, the duration and so forth. So for those three pockets of softness, what are the data points that you're basing it on?
Lal Karsanbhai: So I'll break it up into a couple of pieces. China predominantly softness in both chemical. We don't see project activity, spend activity to give us confidence in demand in that segment. Having said that, there are other segments in China that are interesting, particularly around power generation in coal and nuclear, and we're benefiting from those investments. We're also seeing nascent growth in China of export EPC business. These are Chinese homegrown EPCs that are now beginning to take their skills and capabilities around the world. So we are participating there. And then lastly in China, the marine business. Shipbuilding in China has become a very large segment, certainly not one that we've been participating in. In terms of factory automation, automotive has a big element to that for us, both in China and in Germany. And we're looking at, obviously, data around automotive spend, but mostly we see that as reflected in our daily orders and funnel activity in the area.
Deane Dray: Great. And the construction?
Lal Karsanbhai: On overall construction, outside of China, again, we don't see any underlying concerns here at this point in time. But again and some of that perhaps reflected in the recovery in discrete globally. So I don't have any commentary there, Deane.
Operator: And the next question comes from Andy Kaplowitz with Citigroup.
Andy Kaplowitz: Lal, can you give us some more color into the strength of your incrementals in Q2 and how you're thinking about incrementals in the second half. I know you've been talking about good material productivity versus cost and mix has been positive for you. But is there anything else going on? I assume you're keeping a significant lid on cost. Do you expect temporary costs to come back in the second half? Maybe give us some more color on what's going on.
Mike Baughman: Our leverage for the first half was exceedingly high, about 220%. And there were some interesting dynamics there with FX effect on reported sales. So we had a lower growth at the top line, but we continued to drive all of the levers around profitability. We had some very good mix with AspenTech. The T&M synergies reading through cost controls, as you mentioned and we talked about last quarter. And then the hard work that was done last year around restructurings was in the second half of the year was reading through in the first half of the year. The second half of the year, this year, the leverage will probably look, in fact, a little lower than traditional. And there's a couple of things going on, mainly FX flips on us and the tariff impact, where we'll have a lot of sales coming through with no incremental profit but fully offset, as Ram talked about. And the profitability will be a little bit lower due to the AspenTech timing that we talked about. They had the large sale that booked in Q2 that was modeled in for Q3. So on balance, we're looking at a great year with 60%-ish expected incremental leverage in the full year.
Andy Kaplowitz: And then I want to double click on Aspen for a second. Maybe just a little more color as it enters your portfolio. I think you're originally expecting Aspen to be neutral EPS for FY 2025. It's coming in mildly accretive. What exactly is outperforming your expectations? And I know you talked about greater than 10% ACV growth, but maybe you could elaborate on what you're seeing in the near to medium term in the business.
Lal Karsanbhai: I'll say a few comments and then Ram, if you have something to add. So I think there are two predominant elements there, Andy. The first is timing. Obviously, we exceeded in the second quarter. The timing does matter in terms of the EPS accretion. And the second is our commitment around the opportunities of cost. And the management team has pursued that very aggressively off the bat, particularly around G&A and corporate costs. And we feel really good that this will contribute positively year-over-year. So an excellent start for the business.
Ram Krishnan: And I think the pace of business across DTM continues to be robust and I think we'll continue to accelerate in terms of momentum and the core AspenTech suites continue to perform very well. So we haven't seen any slowdown in demand and you augment that with the synergy actions that Lal referenced, I think we feel very good about the contribution AspenTech will make this year and into 2026 and beyond.
Operator: And the next question comes from Steve Tusa with JPMorgan.
Steve Tusa: Can you just talk about maybe what's within process? What's holding up for you guys and where the strongest growth is and maybe how the MRO is playing in there with kind of the field device MRO side?
Lal Karsanbhai: Look, MRO was about 62% of sales in the quarter, so it continues to be robust, which is important, and we watch that very carefully with our programs, as you know. But also the capital funnel continues to be important here. The awards at $375 million are relatively balanced. But the three areas that pick out in hybrid and process are life sciences, power and LNG. And we have not seen any arrest in the momentum in those markets and continue to be relatively bullish as we go through the remainder of this year into the exit of 2025 and into 2026. Okay.
Steve Tusa: And then just lastly, any variability around like the end of the quarter? Any signs of pre buy or unusual customer activity? I know you guys are now guiding the second half for pretty decent order growth. And any kind of choppiness that you've seen out there in the last couple of months?
Lal Karsanbhai: Yes. I look for that really carefully. And I wanted to put the April order number out there to give you some reflection. We did not see any of that across our businesses. As you know, we're not a big stock inventory business within across the portfolio, but we have not seen any signs of pre buys, get ahead of tariffs or surcharges across the business. This has been underlying demand that has continued to accelerate in the segments that we expected and continued resiliency in Process and Hybrid.
Operator: And the next question comes from Joe O'Dea with Wells Fargo.
Joe O'Dea: Can you expand on Test and Measurement a little bit? I think there were at least a couple of data points over the course of the past couple of months that pointed to some push outs that was more production side and the R&D side. Just talk about where you sit on the validation side and end market exposures and why the demand trends for you could be a little bit more insulated from some of the other pressure that's out there?
Lal Karsanbhai: Yes. So in Test and Measurement, we have four segments, so equally weighted 20% to 25% of the sales mix. Two of those segments, Aerospace and Defense and Portfolio are seeing very, very strong growth driven by underlying demand fundamentals. Certainly, the portfolio business, which is a broad variety of end markets, 30,000 plus customers, and mostly sold through distributors and integrators represents the broadest exposure that we have to customers. And so, strength in that segment bodes well for the overall recovery in the Test and Measurement markets overall. And then the Aerospace and Defense piece is stimulated by focused customer spending at large accounts. So those two markets are very strong. Semiconductors, we are seeing recovery. We expect further recovery into the second half supported by earnings releases from the likes of TI, for example, that saw robust demand for their analog segment. We play in analog and mixed signal, RF and mixed signal. So we expect that trend to get positive in the second half. The only segment where we haven't seen any signs of a recovery is the automotive piece, which is primarily EV battery testing. That's the one part that we're watching. But certainly, three of the four markets that we play in, we see strong fundamental demand.
Joe O'Dea: And then, Lal, just wanted to ask on the portfolio and the comments in the release about portfolio transformation is complete now with Aspen buy in. As you think about moving forward and capital available for bolt ons, how should we think about the sizing of that and thresholds that you think about where the types of deal values that we could see, but a threshold above which you just really wouldn't have an appetite for?
Lal Karsanbhai: I think it's, as we talked about in prior quarters, going forward, we're really thinking about bolt on opportunities across the business. The way we scale those are sub billion dollars. But again, we have to balance that with the overall capital allocation requirements in the business. We're committed around share repurchase and the dividend. Of course, we have the debt pay down issue that Mike described. But with that said, we'll have ample room for those opportunities if they present themselves or they come into the market. But at this point in time, really a focus on running and delivering value with the company we've created, which I think can create the most value through organic growth and investment in the company.
Operator: And the next question comes from Ken Newman with KeyBanc.
Katie Fleischer: Hey, good morning. This is Katie Fleischer on for Ken. I was just wondering if you could give some more color around slide 5. Orders are up about 4% in 2Q and then mid-single digits in 3Q and high single digits in 4Q. So how does that translate to the second half sales that are expected to be softer? Is that just driven more by mix or higher conservatism? Any color on that, please.
Lal Karsanbhai: I don't quite understand. So the order acceleration gives us confidence in the second half sales acceleration that we have in the plan, which then delivers approximately 4% underlying sales growth overall for the year. If you recall, we grew slightly under 2% in the first quarter at around 2% now in the second quarter, and we'll finish at underlying sales of 4% for the year. So it's an acceleration supported by the order ramp that we're seeing.
Katie Fleischer: And then any color that you can give on the strategic project funnel? Noticed that slide wasn't included in the deck, so any additional details there would be helpful.
Lal Karsanbhai: I shared that in my opening remarks. It's $11.4 billion in size. We were awarded $375 million of projects in the queue. That's generally consistent with awards over the last few quarters around that $350 million to $400 million range. And it was broad based across LNG, power, life sciences and sustainability decarbonization.
Operator: And that concludes the question and answer session as well as the call itself. Thank you so much for attending today's presentation. You may now disconnect your lines.